Operator: Good day, ladies and gentlemen. And welcome to the Himax Technologies Full Year 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference is being recorded. I will now turn the call over to your host, John Mattio.
John Mattio: Thank you, operator. Welcome everyone to Himax’s fourth quarter and full year 2015 earnings call. Joining us from the Company are Mr. Jordan Wu, President and Chief Executive Officer; and Ms. Jackie Chang, Chief Financial Officer. After the Company’s prepared comments, we have allocated time for questions and a Q&A session. If you have not yet received a copy of today’s results, please call Lamnia International at 1-203-885-1099 or access the press release on financial portals or download a copy from Himax’s website at www.himax.com.tw. Before we begin the formal remarks, I would like to remind everyone that some of the statements in this conference call, including statements regarding expected future financial results and industry growth, are forward-looking statements that involve a number of risks and uncertainties that could cause actual events or results to differ materially from those described in this conference call. Factors that could cause actual results include, but are not limited to, general business and economic conditions, the state of the semiconductor industry, market acceptance and competitiveness of driver and non-driver products developed by Himax, demand for end-use application products, the uncertainty of continued success in technological innovations, as well as other operational and market challenges and risks described from time-to-time in the Company’s SEC filings, including those risks identified in the section entitled Risk Factors in its Form 20-F for the year ended December 31, 2014, filed with the SEC as amended. Except for the Company’s full year of 2014 financials, which were provided in the Company’s 20-F, filed with the SEC on April 15, 2015, the financial information included in this conference call is unaudited and consolidated, and prepared in accordance with U.S. GAAP accounting. Such financial information is generated internally and has not yet been subjected to the same review and scrutiny, including internal auditing procedures and external audits by an independent auditor to which the Company subjects its annual consolidated financial statements and may vary materially from the audited consolidated financial information for the same period. The Company undertakes no obligation to publicly update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. At this time, I would now like to turn the call over to Mr. Jordan Wu, President and CEO of Himax Technologies to detail the Company’s fourth quarter and full year 2015 financial results. Jordan, the floor is yours.
Jordan Wu: Thank you, John. And thank you everybody for being with us for our earnings call on which we will detail results from the fourth quarter and full year 2015 and provide our first quarter 2016 guidance and outlook. Our CFO, Jackie Chang will also detail more specifics on our financial performance after my review. We are pleased to begin by saying that our 2015 fourth quarter results beat our guidance as we announced on January 7th. Our 2015 fourth quarter revenue was $178 million, representing 7.5% sequential increase. It is in line with our preannouncement and outperformed the original guidance of flat to 5% up quarter-over- quarter. Gross margin for the quarter was 22.9%, also beating the original guidance of flat to slightly up sequentially. Fourth quarter GAAP earnings per diluted ADS came in at 3.6 cents, reaching the high end of our preannounced GAAP EPS range of 3.3 to 3.8 cents and beat our initially guided 1.0 to 3.0 cents. Our fourth quarter revenue of $178 million represented a 7.5% sequential increase from the previous quarter and 21.7% decrease from the same period last year. Overall, sales came in better than we guided across all three product lines during the quarter. Notably, we saw increased market share of our large panel driver ICs, new addition of a major smartphone customer for small and medium-sized driver ICs, and shipments of AR/VR related products. Revenue from our large panel display drivers was $62.1 million, up 22.9% sequentially, and down 5.2% from a year ago. Large panel driver ICs accounted for 34.9% of our total revenues for the fourth quarter, compared to 30.5% in the last quarter and 28.8% a year ago. Notebook demand remained weak, yet our driver IC business for TVs and monitors grew more than 20% sequentially while, according to the market research firm IHS, worldwide TV and monitor panel shipments decreased 2% during the same period. This bright spot, as we have repeatedly emphasized, came from our long-standing leading market share in China’s fast-expanding panel manufacturing base. If we look only at China, our driver IC revenue grew close to 40% sequentially for each of notebook, monitor and TV applications in the fourth quarter. Overall, large panel driver IC for Chinese panel customers grew 16.9% year-over-year. Our leading market share, coupled with rapid capacity ramping of Chinese panel customers and more in-sourcing from their local set maker customers, have led to this favorable result. It is especially worth highlighting that our engineering collaboration and design activities with Chinese panel customers remain robust despite the soft market sentiment. Revenue for small and medium-sized drivers came in at $81.9 million, down 2.9% sequentially and down 28.7% from the same period last year. Driver ICs for small and medium-sized applications accounted for 46% of total sales for the fourth quarter, as compared to 50.9% in the previous quarter and 50.5% a year ago. The main reason behind the weak performance was the loss of business from our primary Korean end customer as they replaced the use of LCD displays, for which we were a major IC vendor, by AMOLED displays for their smartphone products, thereby creating a gap in the our small and medium-sized business. While with a much reduced volume, we remained a major IC partner to this Korean customer for their LCD displays and are working on AMOLED projects with them. I will provide the latest development on this a bit later while giving outlook for the coming quarter. However, business from Chinese smartphone makers grew significantly over the last quarter due to their new model launches and inventory replenishing, as well as the addition of a new top-tier Chinese customer for one of their high-volume models. Compared to the same quarter last year, revenues for Chinese smartphones stayed around flat. For automotive applications, we continued to see solid momentum, growing high teens from the third quarter and around 3% year-over-year. Our revenues for tablet segment grew around 9% sequentially, thanks to strong shipments to certain international brand customers. Yet the tablet sector registered a year-over-year decline of around 17%, a reflection of the overall weakness of the market. Revenues from our non-driver businesses were $34 million, up 10.5% sequentially and down 27.4% from the same period last year. Non-driver products accounted for 19.1% of total sales, as compared to 16.6% [sic] [18.6%] in the previous quarter and 20.7% a year ago. CMOS image sensor business was the main factor behind the year-over-year decline. As mentioned in our previous earnings call, our CMOS image sensor business suffered because we didn’t ramp our 8 megapixel and 13 megapixel sensors as planned due to the lack of Phase Detection Auto Focus or PDAF, a new but nowadays-required feature for high end smartphone. We remained one of the market share leaders in notebook sector. The sequential growth of our non-driver segment was mainly contributed by AR/VR related businesses. Our LCOS and WLO revenues started to show growth as we started to make shipments to certain leading customers in September. Development fees from AR/VR project engagements with both current and new customers also worked in our favor. Among the non-driver products, power management ICs also delivered impressive growth sequentially. Our GAAP gross margin for the fourth quarter was 22.9%, a 110 basis points increase from 21.8% in the previous quarter and down 180 basis points from 24.7% in the same period last year. The gross margin beat the our initial guidance, mainly due to a more favorable product mix, including more high-end smartphone and tablet driver IC shipments and higher development fee incomes from LCOS and WLO businesses. Such increased development activities will eventually lead to mass production of these products, which will enhance our gross margin even further in the long run. Gross margin expansion was also a testament to our costs-down measures. Gross margin improvement remains one of the our business focuses. Our GAAP net income for the fourth quarter was $6.1 million, or 3.6 cents per diluted ADS, compared to GAAP net loss of $2.3 million, or 1.4 cents per diluted ADS, in the previous quarter and GAAP net income of $15.6 million, or 9.1 cents per diluted ADS, for the same period last year. GAAP EPS exceeded the our 1.0 cents to 3.0 cents guided range. In our last earnings call, we estimated $3.1 million of additional income tax charges caused by the NT dollar depreciation based on the exchange rate of 32.66 on November 12th, the date of the EPS guidance. As it turned out, from November 12th to the year-end, the NT dollar further depreciated to 32.83 against the U.S. dollar, resulting in an additional $0.5 million, or 0.3 cents per diluted ADS, of income tax charges. If the NT dollar/U.S. dollar rate had stayed at 32.66, our EPS would have been 3.9 cents, outperforming our original guidance even more. The sequential profit increase was a result of higher revenue and gross margin, together with lower operating expenses. The year-over-year profit decline was due to decline in revenue and gross margin but lower operating expenses helped offset some of the bottom line decline. Jackie Chang, our CFO will now provide more details on our financial results. After Jackie’s presentation, we will further discuss our full year results, 2016 outlook and then first quarter guidance. Jackie?
Jackie Chang: Thank you, Jordan. I will now provide additional details for our fourth quarter financial results. GAAP operating expenses were $32.1 million in the fourth quarter of 2015, down 16.6% from the previous quarter and down 3.8% from a year ago. The sequential decrease was primarily the result of difference in RSU charges. In accordance with our protocol, we grant annual RSUs to our staff at the end of September each year, which given all other items equal leads to higher third quarter GAAP operating expenses compared to the other quarters of the year. The fourth quarter RSU expense was only $0.3 million while it was $4.5 million in the third quarter. Excluding the RSU charge expenses, operating expenses decreased 6.5% from last quarter and down 3.3% year-over-year. The sequential decrease was the result of streaming core business R&D activities and other expense control measures. GAAP operating income for the fourth quarter of 2015 was $8.6 million or 4.8% of sales, up 449.9% sequentially and down 62% year-over-year. The sequential profit increase was from higher revenue, enhanced gross margin and lower operating expenses, including less RSU expenses. The year-over-year decline was, on the contrary a result of lower revenue and gross margin, but offset by lower operating expenses. Fourth quarter non-GAAP operating income which excludes RSU and acquisition related charges was $9.1 million or 5.1% of sales, up 239.6% from previous quarter and down 60.9% from the same quarter of 2014. Fourth quarter non-GAAP net income which excludes share-based compensation and acquisition related charges was $6.5 million or 3.8 cents per diluted ADS compared to $1.7 million last quarter and $16.1 million the same period last year. As Jordan mentioned earlier, our fourth quarter EPS reflects adjustment of an additional $0.5 million or 0.3 cents per diluted ADS of expected income taxes. This is a direct result of NT dollar devaluation against the U.S. dollar between November 12, 2015 and year-end. We would like to emphasize that the exchange rate has very little effect on our margins and operating results, as we maintain vast majority of our cash, conduct our entire buy and sell activities, and keep our books all in U.S. dollars. The only major impact it has is on our effective income tax. This is because we pay literally all our taxes in Taiwan where tax authorities determine our tax based on our NT dollar dominated ROC GAAP accounting. In general, as NT dollar depreciates against U.S. dollar, we are worse off in our U.S. GAAP effective tax rate and vice versa. We choose to maintain natural hedge in our operational activities as we believe it minimizes the overall exchange rate impact over time. I will go through 2015 full year financial results and the balance sheet analysis a little later after Jordan’s 2015 full year business review.
Jordan Wu: Thank you, Jackie. 2015 was a difficult year with different challenges every quarter. Despite hints of a continued market softness and tougher competition in mobile devices and TV, we were able to exit the year of 2015 with decent sequential growth. We believe such strength will continue into 2016. During 2015, our increased large panel driver IC market share in China has helped solidify our foundation of core business, and has brought in a strong flow of sales and new opportunities as our Chinese customers continue to expand their panel capacities while Chinese TV makers are sourcing more panels locally. Equally important, following quite a few quarters of sales decline in small and medium-sized driver ICs, we finally saw smartphone order rebounds coming from the industry’s restocking and new model launches in the last quarter, especially from our leading brand customers. Two of the key achievements of our smartphone driver IC business are the completion of our qualification by a primary Korean customer for our OLED driver IC design and the successful launch of our TDDI or Touch and Display Driver Integration products in 2015. Both products were actively sought after by mobile device makers, module houses, and panel makers. Lastly but not least, some of the world’s largest and most impactful technology companies have continued to work closely with us on our AR/VR devices using our LCOS, WLO and/or driver IC solutions. Some of them have announced the launch of their products in 2016. We are seeing strong momentum across all our major product lines and feel excited about the growth prospect of 2016, despite the uncertain economic environment. Now, we will have a quick overview of the 2015 full-year financial performance. Our revenues totaled $691.8 million in 2015, representing a 17.7% decrease over 2014. Revenues from large panel display drivers declined 0.7% year-over-year, representing 32.4% of total revenues, as compared to 26.9% in 2014. Notably, TV application grew over 20% year-over-year, the highest growth since 2011. Such strength was originated from the our focus in China starting 2012 as we bet on China’s long term prospect and sought to diversify customer base. Himax believes that panel capacity expansion in China is a tailwind ride uniquely for us, and our large panel driver IC sales and market share will further improve as we move into 2016 as a result. Small and medium-sized driver sales declined 24.7% year-over-year, representing 48.6% of our total revenues, as compared to 53.1% in 2014. As I mentioned earlier, our key Korean end-customer’s decision to substantially increase the portion of AMOLED panels in their smartphone portfolio was the main reason that caused our smartphone drivers to decline. Our driver sales for small and medium-sized panels were also hit by the weak smartphone sales in China where smartphone vendors, lacking new government stimulus, turned conservative while trying new sales channels such as e-commerce and direct sales points to replace the previous approach of selling through telecom operators. Worse yet, exports were also weakened by the relatively strong RMB over the full year. However, as we indicated earlier, the Chinese smartphone market started to rebound in the fourth quarter. Smartphone aside, our driver IC sales into the tablet market also declined significantly year-over-year while those for automotive applications grew double digit. We would like to reiterate that despite the fast changes in the smartphone makers’ competition landscape, we remain the leading supplier of small and medium-sized driver IC for panel makers and module houses across Taiwan, Korea, China and Japan. Now that our smartphone end customers have recaptured the market with refreshed marketing strategies, new model launches and better grasp of internet sales channels, and with our latest addition of a major brand customer, we are well-positioned to grow again in 2016. Non-driver products declined 22% year-over-year, representing 19% of our total sales, as compared to 20% a year ago. As explained earlier, CMOS image sensors’ decline was the main reason behind the poor performance. LCOS, WLO and timing controllers actually grew strongly last year. We launched eDP 1.4 timing controller, targeting high end monitors, notebooks and tablets, and have received positive feedbacks and strong customer adoption as we were the first to launch such timing controller capable of supporting resolutions of up to 4K for medium-sized panels. We indicated before that our LCOS and WLO business hit inflection in September 2015 with pilot production shipment made to a major customer. The increasing shipments of our LCOS and WLO products to some industry heavyweights in the fourth quarter 2015 and the additional design engagements with current and new customers are evidence that Himax is uniquely positioned as the provider of choice for microdisplay and related optics to enable AR applications. Separately, we have officially broken into the VR space with major design-wins taking place toward the end of 2015. Our expertise in customized display solutions in OLED driver IC, timing controller, and power management ICs have led to ASIC developments that will go into the next generation panels of several VR devices. With multiple AR/VR players announcing their product launches in 2016, we stand to benefit from these new businesses. I will elaborate more when proving first quarter outlook. On top of these products, our touch panel controller sales remained flat year-over-year in 2015. The introduction and mass shipment of our on-cell and pure in-cell products have led to fast customer additions in our touch business in 2015. We continue to believe that TDDI will start to take off starting second half 2016. Gross margin in 2015 was 23.6%, a 90 basis-point decline from 24.5% in 2014. The margin decline was mainly the result of pricing pressures passed on to driver IC vendors from cost sensitive panel makers. Pressure on gross margin was partially offset by higher development incomes from our LCOS and WLO products and higher sales of driver ICs for high end smartphones in the fourth quarter. Our GAAP net income for the year was $25.2 million, or 14.6 cents per diluted ADS, down from $66.6 million, or 38.7 cents per diluted ADS, for the same period last year. The exchange rate impact on income tax was $3.6 million for 2015 as NT dollar depreciated to 32.83 against U.S. dollar at end of 2015 and from 31.65 at the beginning of the year. In July 2015, we paid an annual dividend of $0.30 per ADS, equal to 77.5% of 2014 GAAP earnings per diluted ADS. We remain committed to paying annual dividends, the amount of which is based primarily on our prior year’s profitability. The high payout ratio in 2015 is an illustration of our confidence in our future profitability. I will now ask Jackie to go through some details of our full-year financial results.
Jackie Chang: Thanks again, Jordan. For 2015, our GAAP operating expenses were $132.5 million, down $0.7 million or 0.5% compared to last year. We have repeatedly indicated that we only intended to increase our expenses in LCOS and WLO sectors, where we are seeing a lot of growth opportunities. GAAP operating income of $30.7 million represented a 57.8% decrease versus 2014. Non-GAAP net income for 2015 was $30.6 million, or 17.8 cents per diluted ADS, down from $76 million or 44.2 cents per diluted ADS, for 2014. The decrease in non-GAAP net income was mainly the result of lower revenue in this year. Our cash, cash equivalents, and marketable securities were $148.3 million at end of the year compared to $187.8 million at the same time last year and $126 million a quarter ago. On top of the above cash position, restricted cash was $180.4 million at the end of the quarter. The restricted cash is mainly used to guarantee the Company’s short-term loan for the same amount. We continue to maintain a very strong balance sheet, and we remind investors that we remain a debt-free company. Inventory as of December 31, 2015 were $171.4 million, up from $166.1 million a year ago and down from $177.7 million a quarter ago. We were able to further lower inventory levels sequentially because of demand rebound. The higher inventory year-over-year was the result of our measure to counter the relatively low customer demand visibility in a volatile market. Accounts receivable at the end of December 2015 were $177.2 million as compared to $219.4 million a year ago and $168 million last quarter. Day sales outstanding was 93 days at the end of December 2015, little changed from 95 days a year ago and 89 days at end of the last quarter. Net cash inflow from operating activities for the fourth quarter was $25.9 million as compared to an inflow of $38.7 million for the fourth quarter of 2014 and inflow of $14.1 million for the third quarter of 2015. Cumulative cash inflow from operations in 2015 was $22.5 million as compared to $93.7 million in 2014. The decrease in cash flow is mainly due to lower net profit and higher working capital. Capital expenditures were $3.6 million in the fourth quarter of 2015 versus $2.4 million a year ago and $2.6 million last quarter. The capital expenditure in the fourth quarter consisted mainly of the manufacturing toolings of CMOS image sensor products and facility updates and capacity expansion for LCOS and WLO product lines. Total capital expenditures for the year were $10 million versus $10.9 million a year ago. As of December 31, 2015, Himax had 171.9 million ADS outstanding, unchanged from the last quarter. On a fully diluted basis, the total ADS outstanding are 172.3 million. I will now turn the floor back to Jordan.
Jordan Wu: Thank you, Jackie. We are mindful that 2016 will likely be a year of macro uncertainty, marked by currency fluctuations and the risk of China’s slowdown. However, looking into the new year, we believe our businesses will be resilient to macro headwinds for reasons set out below. Our large panel driver ICs for TV application will grow from higher 4K TV penetration and the added capacities from China. In terms of small and medium sized driver ICs, those for automotive applications, where we have a leading market share, will continue to show strong growth as more panels are going into vehicles. For smartphone applications, we believe that the adoption of 4G network should rise in China stimulating demand in 2016. We are also a believer in technology integration such as TDDI in smartphones. Revenue contribution from TDDI will likely take place in the second half of 2016. Non-driver products wise, 2016 will be the year for us to see a bigger revenue percentage generated by LCOS and WLO product lines as shipments to our major customers start to take off. We will also tap into new territories such as IoT and machine vision with our latest CIS and WLO product offerings as stated in the our recent press releases. Overall, 2016 will be a year of growth for both, top and bottom line. With that I will now provide our first quarter guidance followed by a more detailed outlook. For the first quarter of 2016, we expect revenue to be down 1% to up 4% sequentially. Gross margin is expected to be around 25% as opposed to 22.9% in the previous quarter, depending on our final product mix. GAAP earnings attributable to shareholders are expected to be in the range of 5.5 cents to 7.5 cents per diluted ADS based on 172.3 million of outstanding ADS. In providing the above earnings guidance, we have assumed a 20% income tax rate, calculated based on exchange rate of NT dollar 33.45 against the U.S. dollar which is also the exchange rate as of beginning of February. Now, let me provide you with some details behind our guidance and trends that we see developing in our businesses. Following a strong fourth quarter, large panel driver ICs should continue to grow around 10% sequentially and high-teens year over year, with China and 4K TV still the major growth engines. We expect our 4K TV to double in the first quarter sequentially and close to triple over the same period last year. In our previous earnings calls, we mentioned that large panel makers are increasing the demanding the total solution from IC vendors. We are experiencing accelerating demand from panel manufacturers seeking IC vendors who can provide driver IC, timing controller, Gamma OP, and PMIC as a total solution. Meanwhile, timing controller is getting more and more technologically advanced, with high end models integrating sophisticated functions such as MEMC. This positions us very well in the high end 4K TV market. As the industry migrates to 8K TV, which is already in product development, our business and technology strength and integrated product solutions will be a significant differentiator against the competition. The other segment in our driver business is ICs used in small and medium-sized panels for applications including smartphones, tablets and automotives. First quarter sales for smartphones are likely to remain flat, despite few working days around Chinese New Year. Our end customers, including a newly added first-tier player, are launching new models and replenishing inventories ahead of the holidays. Furthermore, we are seeing accelerating full HD shipments and design-wins in our pipeline, a testament to the trend that full HD is quickly becoming the new mainstream display resolution for smartphones, replacing HD720. We are also pleased to report that our shipments of AMOLED driver IC to key Korean customer will start later this quarter, reaffirming our technology leadership in the area. As we are collaborating with multiple customers both in Korea and China on AMOLED product development, we believe AMOLED driver ICs will be one of the critical future growth engines of our small panel driver IC business, especially with quite a few new AMOLED fabs being built in China where we have the most comprehensive coverage. Among driver ICs used in small and medium-sized panels, the best-performing category has been automotives in recent years. We anticipate Q1 shipments to be slightly higher than the previous quarter, growing double-digit year-over-year. We expect the growth to stay robust throughout the year. With numerous top automobile brands having been our indirect end customers, we are well-positioned to take advantage of the growing market in 2016 and beyond. The driver ICs used in tablets, as previously indicated, remain weak and will decline double digit in the first quarter, resulting in a declining small and medium-sized driver IC segment in the first quarter of around mid single-digit sequentially. For the past few years, our non-driver business segment has been our most exciting growth segment and a differentiator for Himax. New product development continues to evolve and gain traction, and we remain positive on the long-term growth prospect of our non-driver businesses. We expect mid single digit sequential growth in our non-driver products for the first quarter. Looking ahead, many of our non-driver products, including our CMOS image sensor, timing controller, touch panel controller, PMIC, ASIC service, WLO and LCOS microdisplays, are set to grow significantly in 2016 and the years ahead. I will now highlight some of the non-driver product lines. First of all our touch panel controller product line, we exited 2015 with our touch panel controller sales flat year-over-year as the industry shifted to on-cell and pure in-cell TDDI. We expect on-cell to become the mainstream touch technology in 2016. We have also launched force touch products, a new feature to the touch panel, and already secured design-wins from leading smartphone makers for their 2016 models. Our on-cell sales will significantly accelerate starting late first quarter with shipments to Chinese and Japanese smartphone makers. Furthermore, we are one of the pioneers in offering TDDI solutions for the state-of-the-art pure in-cell panels, which have started small volume production in 2015. We are in partnerships with essentially all of the panel manufacturers in pure in-cell touch for joint technological development and believe there is a strong market for us going forward. We expect to see its contribution starting second half this year. Moving on to our most exciting AR/VR related businesses, the recent CES Show showcased the fast-growing, multi-billion dollar AR/VR sector under development. Participants included leading multinationals in the gaming, search, mobile, social media, military and consumer industries. Having invested in the technologies for over 15 years, we are uniquely positioned as the provider of choice for microdisplay and related optics to enable AR. As some of our major customers have already announced product launches, revenues from LCOS and WLO are expected to double sequentially in the first quarter off a small base, marking the beginning of mass production for some of our leading AR device customers. While most customers don’t expect big volume for their early generation products, we have been working with many of them for future generation devices. We are also seeing constant additions of new customers using our LCOS and/or WLO for a variety of new applications. We currently have more than 30 customers using our LCOS and/or WLO for their AR devices and optical engine designs, with the vast majority of them coming from the U.S. When adopted, our LCOS and WLO typically represent two of the parts with the highest value in an AR product’s bill-of-materials. As for VR applications, as mentioned in our press release in January, we have had new driver IC design-wins with two top-notch VR players in the next generation OLED panels for their VR devices. In addition, in a recent press release, we introduced WLO laser diode collimator with integrated Diffractive Optical Element or DOE. We believe this is the most effective solution for 3D sensing and detection. Our technology can reduce the size of the incumbent laser projector module by a factor of 9, actually making it smaller than conventional camera modules. This breakthrough allows the solution to be easily integrated into next-generation smartphones, tablets, automobiles, AR/VR devices, IoT devices, and consumer electronics accessories to enable new applications in the consumer, medical, and industrial marketplaces. To be paired with the laser projector module mentioned above, we are also developing a Near Infrared sensor or NIR sensor to provide customers with a total solution. Additionally, in January, we announced an ultra-low-power QVGA CMOS image sensor, which, we believe is by far the lowest power CIS in the industry with similar resolution, while offering outstanding sensor performance and high level of feature integration. IT can be in a constant state of operation, enabling “always on”, contextually aware, computer vision capabilities such as feature extraction, proximity sensing, gesture recognition, object tracking and pattern identification. Likewise, it can be applied in new applications across smartphones, tablets, VR/AR devices, IoT and artificial intelligence. This series of smart sensors will open a new business territory for our CIS products. In terms of our 8-megapixel and 13- megapixel CMOS image sensors with PDAF feature, we are catching up very fast. We believe, we will be one of the few players capable of providing PDAF-equipped CMOS image sensors in the very near future. We will report progress in due course. And that will conclude our non-driver business segment. Thank you for interest in Himax. We appreciate you joining today the call, and are now ready to take questions.
Operator: Thank you. [Operator Instructions] Our first question comes from Suji De Silva with Topeka. Your line is now open.
Suji De Silva: On the smartphone -- just want to be clear on your comments here. With the smartphone markets flat to you guys versus the industry declining in the first quarter, and if you are gaining share, which you talked about; is that sustainable through the remainder of 2016?
Jordan Wu: I’m sorry, I didn’t quite get the later part of your question.
Suji De Silva: If you are gaining share, is that sustainable throughout the remainder of 2016?
Jordan Wu: Right, okay. Well, I think [indiscernible] why not. We mentioned -- well, first the overall market is not going to -- I mean nobody expects good growth for the overall market as we all know. But we believe phones [ph] in China are now competing pretty favorably compared to iPhone and that is certainly a good news for us. And so for 2016, I think Chinese smartphone market is likely to see rebound again, actually starting from last quarter. And I mentioned earlier, we believe quite likely there will be more 4G adoption, even potentially, I said potentially, because I mean certainly I don’t know for sure, but potentially new subsidy program by the government, the way to stimulate the economy. And certainly export after rather turbulent renminbi fluctuation, assuming renminbi get to the bottom price and start to stabilize, we are certainly expecting the good growth opportunities for Chinese smartphone vendors. So yes, we think it’s sustainable. Last but not least, we mentioned a new addition of a major Chinese brand customer, which is certainly likely to sustain as we are only in the beginning of real mass production in collaboration with them.
Suji De Silva: Great. And then I appreciate you guys taking about the China growth in large and small. Can you about what percent of your large and small businesses are now coming from China versus non-China?
Jackie Chang: It’s over 50%.
Suji De Silva: Jackie, that’s for both large and small?
Jackie Chang: Yes.
Suji De Silva: And my last question is about the AR/VR categories here. The NRE you are getting now, is that a sustainable run rate or would that be lumpy and how many customers are shipping today versus how many expect in 12 months? Thanks.
Jordan Wu: I don’t want to mislead anybody. Certainly it’s not going to be -- in theory NRE is not a continuous business. However, we do have new models from existing customers and new customers. And for minor modifications, we trust [ph] NRE but for major modification or even build up of panel or solution, then there will be, could be millions of dollars of NRE charges for a project. So, I think at least for 2016 after a pretty short [ph] NRE income last year, we are actually expecting growth in NRE for LCOS and WLO for AR/VR products. Now that hopefully will be a foundation for future mass production. And then once the mass production really takes off, NRE income hopefully will account for smaller percentage of our AR/VR related areas. But last year and we expected this year, it is still quite positive. [Ph]
Suji De Silva: Okay, thanks. Congratulations.
Jordan Wu: [Indiscernible] fluctuated. Let’s say actually this quarter Q1 our expected NRE income is a bit less than last quarter. We are actually getting good NRE income every quarter, over last year and certainly expecting this year.
Operator: [Operator Instructions] Our next question comes from Tristan Gerra with Baird. Your line is open.
Tristan Gerra: Could you talk a little bit about your wafer level optics business that you see starting to ramp in augmented reality devices? Is there a lower ASP version that eventually could target high volume applications including cameras and smartphone? And what type of timing are we looking at for that type of development?
Jordan Wu: Well, there are two major categories, the first one being for microdisplay, to couple with microdisplay to provide waveguide. As you know, in AR device, you need to have a small microdisplay and typically you need a waveguide to couple with the microdisplay to enlarge for a projection. So that is one area. And actually in that area, we are starting mass production right now, as we mentioned in our prepared remarks. Again, I want to say we are in very early stage of AR devices. Although I believe AR will be the more significant panel display in longer term but we are indeed -- but it’s more complex for our end customer to design. So we are in the beginning stage. And actually for the product -- for most of the products that you see in the marketplace AR devices tend to be in the early generation, which I mentioned again in my earlier remarks that our customers had to believe that they don’t expect very big volume in the first generation. But very importantly, we are already ultimately spending with our customers for next generation. And the second area for our WLO to be potentially in AR/VR device is to be coupled with camera. Our early announcement -- we have two recent announcements which are both very good examples. The first one is WLO enabled structured light [ph] projector. So basically you have a laser diode emitting invisible light through certain collimation lens range and DOE that you cannot project AR visible [ph] patterns onto the objects which after refreshing will get to received by another CIS device that we are developing which is our NIR sensor. So to enable the projector, WLO technology is the core. So, we are very uniquely positioned for this area. And now we are working with some of the most powerful partners around the industry. And we are hoping that later this year or maybe early next year, we’ll start to see mass production. And the purpose of this is to for a user to be able to sense 3D map around your environment whether for picture taking or for other applications such as gesture recognition and so on. And another interesting recent announcement we had was ultra-low-power sensor. This sensor when operating at QVGA will be running at about 2mW of power consumption. Talking about the difference of our order of magnitude compared to ordinary sensors similar resolution category. Now, the best way to have -- to go with this ultra-low-power sensor is to have a WLO based lens, so that the whole package or the whole module can be very-very small that is certainly very-very important for devices such as smartphones. So, all of this -- and then why you need ultra-low-power sensor in smartphone because with 2mW or even lower power consumption, you can actually continue [ph] constantly and that is why we call ‘always on’ sensor. And for that you then have a lot of potential applications including wake up your cell phone, rather than turning on your display you can actually have a sense of sensing the environment and knowing when to wake up the device. And the potential applications we are seeing now range from TV, to smartphones, to computers and AR/VR and other devices. And the last thing, I want to emphasize is that especially with adopting actually just about [indiscernible] as I mentioned, the ASP for WLO is always very high. So, we account for pretty significant portion of WLO material for AR device. 
Tristan Gerra: And then just a quick follow-up question on the large panel situation at China makers that you see, you’ve had some very good momentum since last quarter. Any sense of whether you think inventory levels at those panel makers basically in line with normal levels or whether you feel that there could be some build-ups? I mean obviously given your Q1 guidance, you don’t seem to be concerned too much about potential inventory deleveraging post Chinese New Year but just interested in your view as to how we are entering the year from a panel industry standpoint in the channel?
Jordan Wu: Well, actually the way we see the inventory level across our supply chain is actually quite big at the moment. And as a result, we are actually comfortably prepared for customers’ fresh holders. So, I think inventory wise, the industry is a lot healthier compared to the same time last year. Actually, if you recall the situation of last year, starting from late 2014 and into first quarter last year, the whole industry I guess was too excited about the growth and people built too much inventory as a result; the whole industry suffered in Q2 and Q3. And after that we started to see a little bit of rebound in Q4. And this year situation is rather different. So, last year, the same period last year, we were actually suffering from shortage of our capacity from our vendors but not anymore this year. So, many indications fall in to the same thing, which is the supply channels actually has healthy inventory status. And another thing people talk about, concerned about China is building so much capacity, creating oversupply in the whole industry, which is certainly true. I cannot predict the future, but one thing is for sure, when my customers build capacities, they need to buy more driver ICs and which benefits us given our relatively large market share in China. And another thing to point out is that Chinese TV set makers are in-sourcing, meaning buying TV panels from China, a lot more than we thought. There is a little bit of government subsidy or encouragement and certainly being Chinese, the vendors do provide better and more friendly services to the customers. All these reasons but what we are seeing, this in-sourcing trend is actually also important factor. So, if there is oversupply situation, if there should be oversupply situation, I think it will be too easy to write off the Chinese panel makers, so to speak because they do have a good support from their local customers.
Operator: Our next question comes from Tom Sepenzis with Northland.
Tom Sepenzis: Good morning. Thanks and congratulation on the quarter and the guidance. I am just wondering if you could give us an idea of the mix in your small to medium panel business between smartphone, tablet and automotive?
Jacqueline Chang: Smartphone is about 50% of our small and medium, and tablet is about 30%, and automotive is about 20% and the rest are our other consumer electronics.
Tom Sepenzis: And then, just in terms of the LCOS and WLO, obviously that’s going to have a nice move here at the beginning of the year in the March quarter. I am just curious as to what the rest of the year in terms of visibility; what you might have and do you expect that to continue to increase linearly, as we go through the year or is there an initial order here that’s helping out the March quarter? How should we be thinking about that business moving forward? I mean clearly, with 30 customers that has an opportunity to keep moving higher as we go through the year.
Jordan Wu: Yes. I mean 30 plus customers and the number is increasing actually constantly with new applications. But I think in terms of -- again, I mentioned in my prepared remarks and I kind of repeated it in -- just a bit earlier in the Q&A. Volume -- given the fact that these are early generation devices, I mean we don’t want investors to always expect too much. So, we keep emphasizing don’t expect very big volume as we mentioned with consumer electronics device for general public. So now, it is more of a device targeting developers, the industrial users, so no [ph] very big volume. However, again I don’t want to emphasize our content, our value content in each device is probably higher than you expect. Although, I mean for competition reason, we can’t really specify so much but it’s in the hundreds of dollars. And certainly we are bound by NDA and we don’t want to try to preannounce the volume for our customers. But we mentioned to Q1 is going to be double from last quarter, because it is from a very small base. And Q2, Q3 will see some more increase over the year. But I would say for the whole year, in terms of percentage contribution, it will be much higher than any of the previous years. But before NRE income, I would say plus-minus 5% each. But bear in mind, many of our so called 30-plus customers would now have entering too much production this year…
Tom Sepenzis: Great, thank you. That’s very helpful.
Jordan Wu: Yes. So, very small [ph] pick-up in client activities. Thank you, Tom.
Operator: Our next question comes from Charlie Chan with Morgan Stanley. Your line is open.
Charlie Chan: Congratulations for very strong fourth quarter results. So my first question is really on the margin trend for your LCD [ph] driver IC business, because some of your key customers are still posting losses in the fourth quarter. So, what do you think about the pricing pressure going forward, especially into 1Q and the second quarter?
Jordan Wu: The margin pressure is always thee; it’s constant in our industry. And I mean this obviously is not the first time our customers are losing money. So yes, indeed every quarter, we do offer some cost out to our customers. And we try to compensate that by different things. And while we expect to suffer gross margin for this year include among others resolution migration trend for all sizes of panel in the case of TV 4K, in the case of smartphone is full HD, I mentioned earlier. And secondly for our overall gross margin non-driver percent is going to go up. So, stuff like TDDI, LCOS, WLO, on-touch, TCON, all these enjoy substantially higher gross margin compared to our driver IC. And I also mentioned about NRE income, which certainly has the highest gross margin. And certainly our continuous costs-down measures. So, there was ideal [ph] improvement, gross margin improvement has always been one of our major business goals. Now, I also want to mention, we are guiding for 25% gross margin for this quarter, which is pretty significant jump from the last quarter and actually the last few quarters. I just want to emphasize that there is no one particular one-off item to put our gross margin within this quarter. So it is really across the board. We are seeing driver and non-driver and all panel sizes margin being healthy. And I think last but not least, if you compare right now with last year, I mentioned earlier in another question, early in the year, we suffered, the whole industry including ourselves, suffered from high inventory levels, meaning in the following two quarters, i.e. Q2 and Q3, we actually try to digest our all inventory, which inherently has higher cost for us, but that’s just something we need to digest. So that is also a major negative factor for last year.
Charlie Chan: So, my next question is really on your non-driver IC business. So, first of all, for your WLO for the 3D sensing for the smartphones. Do you expect any significant design wins in the smartphone or tablets for this product line?
Jordan Wu: Let me put it that way. We are working with -- we actually worked a long time with -- let me put it that way [indiscernible] platform provider for IC for smartphone in particular. So, we are in the process of launching the solution together and as a total solution. So, it’s going to be the joint marketing program. So in terms of latest design wins, the answer is no, not yet. But we are seeing very strong early entries from some of the big named customers. So that is very encouraging. And I think people are attracted to this solution because of the form factor in addition to the potential application. Actually, that is the one thing that customers are still working on, which is to create very good applications for this -- in this device. So, I mean people have known about the potential for long time but people have not seen any solution which is small enough to fit into a smartphone, and now they are seeing the first one with a pretty reasonable price, product price. So, people are excited and people are thinking about how to use it. So, hopefully there will be good news to report over next quarters. We are expecting again early mass production. I would say the earliest would be the end of this year or maybe next year. But I think both us and our partners feel the potential this market is very-very big.
Charlie Chan: Thanks. We wish your success in this product line. So, lastly, after the CES Show, we do see lot of interest in the augmented reality smart glasses. So, given the booming demand, do you see any respectful competitor in micro projector area, the similar LCOS technology or other technologies or is Himax still the only game in town for the micro projector technology?
Jordan Wu: We have not really seen a -- I don’t want to be too forceful [ph] but we have not really seen a meaningful competitor at this time for microdisplay.
Charlie Chan: Yes…
Jordan Wu: Now, we are seeing most of ARs are using -- sorry, VRs are using AMOLED and now we just announced major design win in our driver IC for AMOLED panels but ARs will have to use microdisplay platform, microdisplays we have not really seen a meaningful competitor at this point.
Operator: Our next question comes from Jerry Su with Credit Suisse. Your line is now open.
Jerry Su: First question from me is on the AMOLED and I think you mentioned that you’re going to start a shipment from later this quarter. I am just wondering how do you see the volume for the full year because you also mentioned that last year you suffered from the customer shifting to OLED. So, do you think that the smartphone driver IC business this year you can make up gas by shipping OLED?
Jordan Wu: No, because the LCD driver to that said Korean customer, the volume was so big that I don’t think the mass production for AMOLED is like Korean customer. I don’t think we will be awarding with such a major share that is highly, highly, highly unlikely. But I think -- and then, I would also comment that there is uncertainty to that because that really depends -- we are still early in the year. So that really depends on our shipping -- our early shipment with them and kind of other sectors. So, it’s a matter of how many more projects will be awarded by the Korean customer which admittedly still use Korean vendors as their primary sources. Now, we’d like to think that the successful qualification and shipments occur with that Korean customer is very important because as we all know Chinese are building lot of AMOLED fabs actually. So, in particular it’s been rumor that Apple is going to use AMOLED at some point in future, we don’t know but there is a strong rumor for that. And if that is true then certainly AMOLED will be gaining more and more penetration into smartphone. And Chinese are building new fabs and we are -- they are IC partner just about every one of them. So, having experience and track record from the leading players right now, I think we’ll further enhance our opposition in China. And I think if that is what kicks off [ph] is going to be major for us, the Chinese.
Jerry Su: And then in terms of pricing and margin, how should we think of the OLED versus the TFT driver IC or versus the corporate average?
Jordan Wu: It depends product by product, but in general, OLED is higher, followed by [indiscernible] and then certainly higher is always higher. But they are -- for obvious reason but that is a general trend.
Jerry Su: So, OLED has better margin versus LTPS and mobiles? [Ph]
Jordan Wu: Yes.
Jerry Su: And that should be better than your corporate average?
Jordan Wu: Yes, definitely.
Jerry Su: And then last question from me. Can you talk a little bit about the Capital expenditure on the LCOS side for this year?
Jordan Wu: It depends largely on our customers’ plan. So, firstly, I mentioned earlier, don’t expect the [indiscernible] specifics but don’t expect big volume. And our customers are asking us to be ourselves prepared without getting too much real CapEx spending right away. So, we are actually asked to get ready and wait for their signal. And depending on how -- what kind of expansion you are talking about, the time range from six to nine months to a year to two years, depending on whether you need to build a new building all together. So, we mentioned a couple of quarters ago that we have secured a pretty sizable piece of land which is very close to our current headquarters in Thailand right now, the size of the land is actually bigger than our headquarter. So, I think all our customers are very pleased with that. But we are not saying we will dive into CapEx spending right away. So, again, we are waiting for our customers’ signal. We have done all kind of simulations, how to do when there is a green light, equipment to do and the construction. So, we have pretty much completed our plant base but we are not saying this year there will be a major CapEx. And again, it depends on our customers demand and it’s still a bit too early. As I think -- again I mentioned we are working on the next generation, we certainly are lot of more hopeful in terms of volume. I mentioned again first generation; don’t expect very big quality but maybe next generation. And assuming next generation, the customers are targeting -- I am talking about multiple ones, so are targeting Christmas next year launch, meaning we will probably have to start CapEx plan at the close of this year and next in order to get ourselves ready for the Christmas launch. But again that is still an unknown. 
Operator: Thank you. I am showing no further questions. I will now turn the call back over to Jordan Wu for closing remarks.
Jordan Wu: I think as a final note, Jackie, our CFO, will maintain investor marketing activities and attend future investor conferences in U.S. So, we will announce the details as they come about. So, please contact our IR department and/or John Mattio, if you are interested in speaking with the management. Thank you and have a nice day.